Operator: Ladies and gentlemen, thank you for standing by and welcome to the Brooks Automation Q3 Financial Results Conference Call. During the presentation, all participants’ lines will be in a listen-only mode. Afterwards, we’ll conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded Thursday, August 8, 2013. It is now my pleasure to turn the conference over to Mr. Martin Headley, Executive Vice President and Chief Financial Officer of Brooks Automation. Please go ahead sir.
Martin Headley: Thank you very much, Lindsay and good afternoon, everybody. I’d like to welcome you all to the third quarter financial results conference call for Brooks’ fiscal year 2013. In addition to covering the results of the quarter that ended on June 30, we’ll be providing an outlook into the fourth quarter of our fiscal 2013 which will end on September 30. Our press release was issued after the close of markets today and is available at the Investor Relations page of our website, www.brooks.com as are the illustrative PowerPoint slides we use during our prepared comments during today’s call. I’d like to remind everybody that during the course of the call, we’ll be making a number of forward-looking statements within the meaning of the Private Litigation Securities Act of 1995. There are many factors that may cause actual financial results or other events to differ from those identified in such forward-looking statements. I’d refer you to the section of our earnings release titled Safe Harbor statement, the Safe Harbor slide in the aforementioned PowerPoint presentation on our website, on the company’s various filings with the SEC. We make no obligation to update these statements should future financial data or events occur that differ from forward-looking statements presented today. I’d also like to note we’ll also make reference to a number of non-GAAP financial measures, which are used in addition to and in conjunction with results provided in accordance with GAAP. Management believes these non-GAAP measures provide an additional way viewing aspects of our operation and performance when considered with the GAAP financial results and the reconciliation of debt measures provide a more complete understanding of the Brooks business. Non-GAAP measures should not be relied upon to the exclusion of GAAP measures. Brooks’ Chief Executive Officer Steve Schwartz will follow my introductory remarks with commentary on the business environment and our current initiatives. I’ll then provide an overview of the third quarter financial results and the summary of our financial outlook for the quarter ending September 30. During our prepared remarks I will from time to time make reference to slide numbers on which relate to the slides which are available to everybody on the investor relations page of our website. To frame the events of the quarter, a summary is provided on slide three. Our order bookings for the quarter grew 5.6% sequentially to $128.1 million, representing a book to bill of 1.08. Most notably bookings for our life sciences business doubled to 18.5 million as we successfully closed out several of the automated storage system orders that were in our pipeline. Our revenues into front end semiconductor market declined as a result of our planned exit from certain low margin business. This contraction partially offset the $2.7 million sequential growth of revenues into industrial market and $0.5 million sequential growth of revenues into adjacent technology markets. Brooks’ gross margins improved 150 basis points sequentially with expansion of margins in both elect sciences and global services segment. Our operating expenses were reduced in the quarter as a result of a $1.9 million reversal of stock compensation expense previously recognized for performance based restricted stock grants. We now project performance below the aggressive targets that would have resulted in those awards thrusting. The favourable reported operating performance was somewhat offset by an abnormally high effective tax rate of 74%. This reflects that our previous projections for full year performance were based on ramp in business that is clearly not happening now and that we now project a lower full year tax rate of below our business levels. Consequently we are required to reverse tax benefits recognized in the first half of the year on the book losses incurred during those periods. Given the non-cash flow nature of the tax adjustment and with strong cash returns from one of our joint ventures, we posted further improvements in cash flow generation with $12.9 million of cash flow from operations. And with that scene setting I will now introduce Steve Schwartz.
Steve Schwartz: Thank you, Martin. Good afternoon everyone and thank you for joining our call. We are pleased to have the opportunity to report the results of the third quarter of our fiscal year. We had a very good Q3 as we were able to demonstrate significant progress on the key initiatives that have been our focus for more than a year. We continue to capture meaningful design-in wins at G OEMs for the semi and adjacent markets. We secured orders on large share of the life sciences systems business that we projected and operationally we delivered improved gross margins, another quarter of inventory reduction and strong cash flow. I will give some of the highlights here and provide some commentary as to what to expect as we move forward. When we made our original plans for the year, we’d anticipated something of an upturn in the semi portion of our business. Indications were that order activity would begin to accelerate in the back half of the year but as you’ve heard from other companies serving this segment, any ramp looks to be delayed. However even if flat revenue quarter we delivered 150 basis points of gross margin improvement, we reduced inventory by another $4 million and had strong cash flow of approximately $13 million. June was a very solid operating quarter for Brooks and we project another in September. But if any semiconductor business ramps, it feels likely to be postponed until after the September quarter. In June quarter we continued to aggressively pursue design win activity in our semiconductor and adjacent business and we registered another 17 design-in wins from OEMs who serve this market. 9 wins were for semi front end and 8 were for adjacent applications that included advanced packaging, MEMS and LED. This mix is very consistent with the split we have seen over the last eight quarters. Notably eight of the wins were very various configurations of our MagnaTran 7 and MagnaTran 8 vacuum robot and included equipment makers in Japan, Korea, North America and Europe. The capability and dependability of the MagnaTran family of vacuum robots continues to be reinforced as we still win new customers and new applications around the world. The brand is known and respected in every 200 millimeter and 300 millimeter factory and it’s easily accepted by customers without excessive new product qualifications. We are aware that new competitors are still trying to compete in the space but we continue to win the value and performance battles with this trusted platform. We achieve two important milestones in Korea as we captured yet another significant vacuum system design win from a Korean OEM. We also achieved the first production shipments of our Jet EFEM from our Korean factory. We continued to extend our lead in 450 millimeter automation capability with the launch of a product we call the 450 nano. The smallest footprint 450 millimeter vacuum transfer system in the market. The system was designed for the 14 nanometer design node and beyond and it provides the cleanest most reliable, smallest footprint system available to date. We are currently engaged with five customers in various stages of technical evaluation. Our investment in product development and design wins continues to keep us in position to be the go to supplier for critical automation needs and we intend to remain active in our pursuit of even more high-value applications. In our life sciences business, we are pleased to report that we achieved a significant improvement in bookings. Orders increased by 100% quarter to quarter to $18.5 million. We won 6 orders for storage systems, five of these were for our new BioStore II and Sample store II systems that we introduced earlier this year. As I mentioned on the previous call, the BioStore and the sample store systems are the first Brooks designed products and they combine the best of the product characteristics from the companies that we acquired with technologies and engineering capabilities from Brooks. Three of the store wins were for biological sample stores and three were for pharmaceutical application. We're particularly proud that the Tohoku Medical Mega Bank selected our BioStore and SampleStore products as part of broad population studies which include generational studies to investigate the impacts of the 2011 tsunami and associated aftereffects. Automation sample storage is in its infancy in Asia and we believe we are well-positioned to lead in we believe will be a high growth market over the next few years. We also saw a resurgence of sales into Europe which was a welcome change from the rather dry period of Q1 and Q2 and additionally we had four orders for our lifecycle upgrade program, two for biological stores and two for pharma. We are pleased with our market share accomplishments and especially with a rapid customer adoption of the new BioStore and SampleStore architecture. At the sample storage density system speed and efficiency and overall cost-effectiveness are compelling for large collections of critical samples. We are currently spending at a relatively high rate on R&D in the life sciences business but we believe that it’s important for new product development to solidify our product portfolio in this developing market. The five system wins for the new platform is validation that our approach has merit and this newly developed architecture is right on target. We continue to spend on an additional system configuration that will further expand our market penetration into a segment that today is only served by manual systems and where automation will add significant value to the storage and handling of cells and critical biological samples. Lifesciences revenue was essentially flat with the March quarter but with gross margins back above 40% which is more representative of what we should achieve in this business. Ultimately we target our lifescience systems gross margin to be at least 45%, we feel confident that we will be regularly able to deliver this as we are able to growth the topline in the future. Although we had a very strong bookings quarter in June, the delivery timing for these systems is spread out over the next three quarters which means that revenue will be recognized over the next four quarters with most coming in December and March. We also forecast that Q4 bookings will not be as high as we saw on Q3 as we are subject to the timing of contracts being issued. Nonetheless we continue to work to build our backlog of systems with a very active bookings and pipeline and although there will be lumpiness in the orders revenue will now begin to increase over the next few quarters. Specifically our forecast of September quarter revenue in lifesciences is around $11 million. As we've discussed with you in the past the automated sample management space has been fragmented and has until recently that’s served by many small competitors who have good technologies and products but do not have the scale to breakout into a leadership position. This provides a good opportunity for companies like Brooks to bring together some of these entities and be able to support and unleash some of these capabilities to the broader market. Toward that end, two weeks ago we announced the acquisition of Matrical Bioscience, a small life sciences company that was also focused on automated sample management for both chemical compounds and biological samples. Trailing 12 months revenue for Matrical was approximately $8 million. They are an entrepreneurial company with an excellent technologies and a great customer list. They bring to us some product lines that complement what is already in the Brooks product portfolio. We anticipate that our integration activities will be relatively straightforward and should be largely completed by the end of the December quarter. We are pleased to be able to welcome the team from Matrical to Brooks, and we look forward to the benefits that will accrue to our customers and shareholders. Now for a few words about outlook, once again we’re looking at a forecast that’s healthy but still does not include a ramp in business. Our forecast for September is for a flat to slightly down quarter and yet we are encouraged by the potential for an increase in revenue in the December quarter. Our life sciences business will show some growth but for the semi and adjacent portion of our business, our forecast is consistent with companies in our industry who have already guided revenue for the September quarter. That said, we remain that true to our objective to continue to make improvements to be a better company at all points in the semiconductor cycle. So even in a flat quarter the operational improvements we've been driving will continue to allow us to show margin expansion, improvements in operating efficiency and additional gains in market share. I also want to take a brief moment to congratulate Mark Morelli on his appointment as President of Brooks. Mark will continue to oversee the company’s operations and his new title is a reflection of the much deserved credit Mark has earned over the last 18 months for leading the operational improvements that have already started to pay off for the company. I am really looking forward to continuing my partnership with Mark as we move the company forward. I will now turn the call back over to Martin.
Martin Headley: Thank you very much Steve. Now I direct you to slide number four, which reflects the 2.3 million sequential improvement in gross profits but we secured 1.5 million sequential revenue growth. As Steve mentioned, this represents gross margin expansion of 150 basis points. Our R&D spend was approximately flat and the SG&A expense levels benefited from the previously noted stock compensation expense reversals. An alternate view of the sequential change is shown on the waterfall chart slide five, the gross margin dropped through on the $1.2 million revenue growth in our Brooks product solutions segment was limited to $100,000. As a result of the $1 million sequential decline in license revenues, that’s a 100% margin. Thus excluding this decline of license revenues, the product sales generated $1.1 million of incremental gross profit on $2.2 million of revenue growth. The lifescience systems business posted $1.1 million of additional gross profits on slightly lower revenues. This performance reflects robust contributions from software sales and device sales both of which attract higher margins than the segment’s average. The global services segment also generated outside margin performance in the quarter with $1.1 million of incremental gross margins on $600,000 of revenue growth. This reflects both benefits from integrating the crossing automation service business as well as sales of some previously reserved inventory. The stock compensation accrual reversal was the most significant sequential impact to our operating expenses. The slide number six shows the GAAP earnings for the third quarter of fiscal 2013 were $1.5 million or $0.02 per diluted share which includes special charges of $600,000 pretax or $400,000 after tax. Adjusted net profit, excluding these restructuring and merger cost charges, was $2 million or $0.03 per share. Our effective tax rate in the quarter was 74% and it’s expected to be below 3% in the fourth quarter. We also see cyclical recovery in our joint-venture businesses but should continue into the fourth quarter. Adjusted EBITDA is probably the most consistent measure of Brooks’ performance given variability around our tax rates and fluctuations in other non-cash items such as stock compensation and intangibles or amortization. Slide number seven illustrates the longer-term trend of adjusted EBITDA. A reconciliation of this non-GAAP measure to the appropriate GAAP comparisons is included as an attachment to our press release. Adjusted EBITDA was $12 million and over the past 16 quarters has tracked pretty close to a 40% drop-through as compared to revenues. The margin performance in the June quarter actually resulted in a $2.9 million growth in adjusted EBITDA on the $1.5 million sequential growth of revenues. Slide eight portrays the elements of our cash flow generation. We had cash flow from operations of $12.9 million on free cash flows of $11.8 million. We closed the quarter with $150.7 million of cash and marketable securities. Slide number 9 shows we had further improvements in inventory performance in the quarter with a $4 million sequential reduction. However we were challenged by significant back end loading of sales in the quarter revenues that resulted in a $13 million increase in accounts receivable, taking these balances to $86 million. We target improvements in both accounts receivable and inventory at fiscal yearend. Also our cash expenditures will be moderated from previous expectation and should not exceed $6 million for fiscal 2013. Beginning on slide 10, we break out results for each of our three segments in the third quarter of fiscal 2013. In the Brooks lifesciences business we saw a continued automated cold store revenue contraction ahead of the rebound professed by the significant contract wins in the quarter. Automated cold sample management stores represented only about one third of the revenues in the quarter as compared to a more normal 50 to 55% mix. However the favorable software and device mix helped drive gross margins by 42.2%. Operating expenses in the segment were approximately flat. Turning to slide number 11, we are presenting the sequential performance of the Brooks products solutions segment, excluding the fair value purchase accounting adjustments excluded from our adjusted earnings in the March quarter. As I noted earlier revenues into semi front-end markets were down $1.9 million to $58.2 million as a result of exiting low margin business, while revenues into our industrial or general vacuum markets were up $2.6 million, at $12 million with some strong demand ahead of the product transition within our [political] offering. Revenues into adjacent markets including back end semiconductor markets were up $600,000, up $15.4 million. Gross margin declined 40 basis points from the $1 million sequentially lower license revenues. Stock compensation accrual reversals significantly impacted the comparative operating expenses in the segment. Overall Brooks products solutions produced segment’s operating margins of 5.9% in the quarter. On slide number 12 we address the Brooks global services segment. Again these are non-GAAP comparisons excluding fair value purchase accounting adjustments related to crossing automation in the March quarter. We experienced 2.9% revenue growth together with gross margin expansion of 310 basis points. Some of these margin expansion reflects the benefits of we wrote down of previously reserve inventories. The integration of the crossing global infrastructure into our service business enabled reductions in operating expenses and boosted the operating margins of the segment to 17.5%. On slide number 13, we have a graphic representation of the historic revenue trends, excluding the contract manufacturing business that we divested in fiscal 2011. We also show the likely mix of revenues in the September quarter at the midpoints of the revenue guidance, which is in the range of 113 to 18 million. We expect to see the beginning of the automated cold store rebound and as a consequence expect our lifesciences business to generate around $11 million in revenues. However contraction in semiconductor front-end products and services market will likely more than offset that growth. Before getting into guidance for the September quarter, I would like to also talk about a couple of events that have occurred over the past 10 days that will also impact our financial performance in the September quarter. These are shown on slide 14. First at the end of July we entered into a definitive agreement to sell a known building that we've leased out to a medical devices manufacturer. We expect to recognize a gain of approximately million dollars on closing this transaction later this quarter. This one-time gain is not included in our adjusted EPS guidance for the September quarter. Secondly, on October 1 we closed the acquisition of the business and assets of Matrical Inc. The cash consideration for this acquisition was approximately $10.3 million. The business which is based in Spokane, Washington will be integrated into our lifescience systems business and provide both market and product function as well as adding entrepreneurial technical and sales resources with considerable experience in this market vertical. We are particularly excited about market and product reach into agri-bio market and certain nearing solutions applicable to some of our automated cold store development efforts. Finally turning to September quarter guidance which is summarized on slide number 15, as I said we are guiding revenues between 113 million and 18 million. On a pro forma basis this represents a revenue decline of between 1.5% and 6.5%. For these levels of revenues we guide adjusted EBITDA to be between 10 million and $13 million for the September quarter. Embedded in this guidance is continued gross margin improvement and some higher operating expense levels without recovery of the accrual reversals of the June quarter. This will translate into an adjusted bottom-line performance of between $0.02 and $0.05 per diluted share. Excluded from these projections are some residual restructuring expenses associated with previously announced actions and the gain on sale of the (inaudible) building. Consequently our guidance for GAAP diluted earnings per share is between $0.03 and $0.06. Finally we announced that our Board of Directors has declared a dividend of $0.08 eight cents per share payable on September 26, 2013 to stockholders of record as of September 6, 2013. With that I will turn the call over to Lindsay for questions.
Operator: (Operator Instructions) Our first question comes from the line of Patrick Ho [Stifel Nicolaus].
Patrick Ho – Stifel Nicolaus: Steve, maybe if you could provide a little bit of color, I understand that, that business is always going to have some lumpiness and is very depending on the timing of funding, respective at each institution, what type of traction are you seeing in terms of the automated storage systems? Are you seeing an extreme cold BioStores and some of the smaller and midrange or are you seeing it across-the-board, is this centered in one of those areas or is it across the board?
Steve Schwartz: Patrick, the bulk of the wins that we had were for pretty sizable stores, so that’s the majority of the business right now for us, as we work on a smaller offering we will be a little bit more competitive. But there is an opportunity for some smaller stores, and we won – all but one of the wins we are aware of from a large store and there is more opportunity for us as we continue to develop a smaller store and we do want to be more competitive there.
Patrick Ho – Stifel Nicolaus: Do you think over like say the next six or 12 months that’s going to be the focus in terms of the larger storage systems is where we are going to see at least the near term growth?
Steve Schwartz: So from a business standpoint we will continue to grow the medium and large sized stores and from an investment standpoint we continue to invest in the smaller cold stores.
Patrick Ho – Stifel Nicolaus: Going to the semi side of things, I think it’s rational, it makes sense in terms of the push-out that we are seeing in the business, can you just remind us what type of lead times you have with your OEM customers from the standpoint of – if they see their pick up in shipments in the December quarter for some of their customers, how quick can you turnaround I guess your products for them in terms of the shipments that they may have scheduled for the December quarter?
Steve Schwartz: Patrick, for most of the products that we have were in the four to eight weeks lead time for a bulk of what we ship to our customers. So a lot of the business we have is turns and a lot of the expectation is that we will turn business for our customers.
Patrick Ho – Stifel Nicolaus: Final question just in terms of the balance sheet, Martin, you talked about the increase in accounts receivables given the lateness of becoming in the quarter, was it primarily focused the one side of business semi or life sciences, or was it a mix of both?
Martin Headley: It was a mix of both but it was also particularly pronounced in the life science systems because within accounts receivable there are also some billings made just before the end of the quarter that were associated with initial payments on large store systems and that would offset the increase in deferred revenues, but you'll also see on the balance sheet.
Operator: Our next question comes from the line of Edwin Mok with Needham.
Edwin Mok – Needham & Company: I guess follow up question on the semi, I think some of your customer actually are talking about a very strong shipment on the fourth quarter, or the calendar fourth quarter, shouldn’t you start to see some of that business in the back half of this quarter as they start to build – strongly in the fourth quarter, even with the [systems] that you have?
Steve Schwartz: Edwin, exactly likely when they get orders, we will get orders because the lead times now are considerably shorter. So indeed if their shipments are expected in December we would anticipate that toward the end of this quarter we should start to see orders.
Edwin Mok – Needham & Company: You don’t have total ends, that’s why you don’t want to guide to that – is that the way to think about?
Steve Schwartz: Yeah we are not sure who has orders in hand right now.
Edwin Mok – Needham & Company: I wanted to talk a little bit about your market share, as well as some of your major customers, have you seen some share shift among major customers that has impact on your business for example, maybe your Korean OEM customer, is that not – one or two big customers is loss share, that may have impact on your business?
Steve Schwartz: Edwin, it would be tough for us to comment on the market share that our customers have. But is there is variability with the customers particularly where we’re strong that we would see it but we certainly wouldn't be in a position to comment on their particular market share.
Edwin Mok – Needham & Company: Do you – have you seen any of your customers – your major customer want to in-source some robotic or solutions or robotic design themselves, is it yours and which have an impact on your robotic business?
Martin Headley: Edwin, in fact, we are seeing the reverse at this moment in that – on new business we are seeing more opportunities where people are considering outsourcing where they hope maybe more traditionally in-sourced. So we don't see that of a move have any momentum and certainly not a current impact on our revenues.
Edwin Mok – Needham & Company: Moving on to the lifesciences, I guess two questions related to this company you guys bought Matrical, first one just mechanics, does your $11 million guidance include revenue information?
Martin Headley: Yes it does. It includes a short quarter for Matrical, so relatively modest amount of revenues from that business.
Edwin Mok – Needham & Company: Just make sure how I noticed that, I guess two question on – one is this company obviously is losing money right now, are they profitable, are they breakeven? So that’s the first question. And the second is I see that they have a lot of consumable type product, how do you think – do you think and integrate that and help drive, you have got some old business ---
Steve Schwartz: I will comment the first part which is that the business is EBITDA positive at Matrical. So it will be having positive EBITDA, there obviously will be some downdraft from the intangibles amortizations that we will take a board. We are currently finalizing all those valuation studies. So it’s a little early to project how much of that downdraft is and how much is offset to the favorable EBITDA. And Edwin, on the consumables and the area that we call devices as well, lot of table top things related to the preparations of the samples and the consumables, those integrate really well into the product portfolio that we have already. So those are good capabilities from Matrical and they will fall right into the existing life-science systems business, both from a channel standpoint and probably customer.
Edwin Mok – Needham & Company: Just question on gross margin, seems like your guidance July imply a little later – in the second quarter, is that just coming the reversal inventory recovery, you guys had this quarter in service business, was that main driver – anything other things we should watch out for?
Steve Schwartz: If you look at they are both favourable and negative impacts on our gross margin rates in the June quarter. The VPS gross margins were actually held down as I mentioned by the level of license revenues that we had in the quarter, that was an abnormally light number and we wouldn’t expect that to recur. So we would expect to see together with the other initiatives that our operations group is going as well as full quarter impact of some of the removal of the lower margin business but you will see margin progression in VPS. I think the comments on the VGF side, the global services side is that you probably saw a higher gross margin than is sustainable, that was 34%, and as I think you will probably recollect our business model targets around about to 33% gross margin for that business. It will be something that’s slightly unusual there. It’s likely just the overall powerful quarter of a Matrical introduction is going to pull down slightly from the 44% levels in the life science systems but still a good deal, then we saw two quarters ago. But overall guidance would be margin expansion, put a lot of dynamics hopefully between the different pieces.
Operator: Our next question comes from the line of [John Peter] with Credit Suisse.
Rohan Gallagher – Credit Suisse: This is Rohan in asking question on behalf of John. I would like to understand like in terms of your exit from the low margin businesses that you mentioned, how much impact did you think that had on your revenues in the June quarter?
Martin Headley: It had the impact of about a couple of million dollars in the June quarter. But that was not a full quarter of all those initiatives, so it will be a little bit more sequentially that’s embedded within our guidance for September quarter.
Rohan Gallagher – Credit Suisse: So if I look at it, like most of your peers – if I look across the component space, like on the saving side, they saw a significant increase in the June quarter of approximately 15% in revenue increase. So I am just kind of trying to understand like – trend in the June quarter, why is that like – if there is only $1 million of impact from exit, like why is that so much lower?
Martin Headley: Well, I think you also might have seen that we sequentially had a higher growth rate in the March quarter from the December quarter than many other people saw. I think you’ve probably got to look at the two quarters combined and then I think you are looking something that looks fairly comparable there.
Rohan Gallagher – Credit Suisse: And in terms of the licensing revenue that you mentioned, the $1 million, in response to one of the earlier questions you said that it’s not something that you are expecting in future. So I should just expect that to be a one-time event, is that correct?
Martin Headley: There is an unusual impact because we – the recognition of license revenues is on a delayed basis because of the time it takes for those license shows to report the revenues that – report the associated revenues but they secured that were tied to our licenses. So what it means is that the license revenues we were recognizing in the June quarter related to the down periods of the December and March quarters and therefore they would depressed with the way that the industry has recovered since then, we’re pretty assured our license revenues will recover back to the levels we’d previously seen.
Rohan Gallagher – Credit Suisse: And just one question on your industrial markets like can you about like what trends you are seeing in the display market in particular and what trends you saw in display in June quarter and what’s your kind of outlook – looking into the September quarter.
Martin Headley: Our investment in revenues in general vacuum are not particularly well timed with what other people see in display. The timing is not a perfect sync, as I said we still benefit because we had – we are going through a product transition within our polycal line and we saw one of our customers place some significant larger orders there ahead of that. So I wouldn’t necessarily draw conclusions they are about what’s going on in display generally from that particular events that we saw. But we saw a very nice growth, we generally are seeing display the general vacuum area be relatively soft. So within our guidance for September quarter is not a particularly robust quarter in that area.
Operator: Our next question comes from the line of David Duley with Steelhead Securities.
David Duley – Steelhead Securities: Just life science acquisition that you are laying in, could you talk about that’s going to impact the breakeven and where the breakeven of the business will be after we layer that in and I guess if you can remind us where it was before that would be great?
Steve Schwartz: We are going through a lot of dynamics in the business at the moment as you would appreciate. The breakeven of the business is probably in the area of about $18 million a quarter currently. This acquisition may temporarily increase the breakeven but we think post integration it will not do so, it will actually contribute to the sales mass without increasing the breakeven point.
David Duley – Steelhead Securities: Do you guys have the status as to when you think this business will start to contribute – to be profitable?
Steve Schwartz: David, we hope by the time we exit 2014 that we will – as I mentioned we are making some investments in the next generation product development, really the reason why we got into the market, we think the investments are important but we do hope that -- and we believe that by the time we exit 2014 that we will be there.
David Duley – Steelhead Securities: And that’s your fiscal year – what’s that in the calendar year?
Steve Schwartz: By the time --- so calendar 2014, December 24.
David Duley – Steelhead Securities: What is there at this point – can you just give a rough idea how much have you invested in total in lifesciences, as far as just acquisitions and buying businesses.
Steve Schwartz: The investments in terms of the cash acquisitions is now $108 million.
David Duley – Steelhead Securities: And if we think a long term what sort of return on investments do you think you should get from this business?
Steve Schwartz: We think that this business has the potential to be both a faster growing business than the semiconductor business. Secondly a higher margin business than the semiconductor business and therefore drive down on what is really relatively asset like business, very low levels of working capital to a ROIC that is better than semiconductor average. There is a degree of inventing the market or in terms of automation solutions for the parts of the market whether or not automation solutions today. And that’s the challenge that we are currently going through in getting for all here, which is a lossmaking business today which should be a very valuable for our shareholders.
David Duley – Steelhead Securities: You’re basically is guiding revenue growth but your gross margins are going to be up in semi or sequentially, that’s essentially production. Could we just kind of walk me through the gross margin guidance.
Martin Headley: We have a number of initiatives in place both in terms of supply chain, eliminating lower margin business in terms of exiting from those. And from work that we are doing in terms of efficiency and productivity, all of those have a benefit we will have a benefit from the mix in the Brooks products solutions which will have a higher content of the higher margin license business. And so those should shall give us a very nice increase in margins and the Brooks products solutions business where we see only modest fall-off in the other pieces of our business. And that gives us a nice improvement.
David Duley – Steelhead Securities: Final question from me, is when we see the semiconductor business takes off let’s say – take another up – in December and beyond, what should the drop rate of the growth in that business, given all these initiatives that you’ve just talked about?
Martin Headley: Well, clearly we have shown throughout the cycles I noted over last 16 quarters there is about 40% drop through on average and with these initiatives I’d say it has the opportunity to be a few points ahead of that average. H
Operator: Our next question is a follow-up question from the Patrick Ho with Stifel Nicolaus.
Patrick Ho – Stifel Nicolaus: Just one quick question in terms of going forward based on some of the design-ins and design wins you talked about, on this call as well as previous calls, I know it’s timing dependent on when OEMs go to their products as well as new devices that come out, would it be fair to characterize that these design-ins can be reflected in 2014 especially if we have an upmarket next year or these design wins for I guess a more of the outyears?
Steve Schwartz: Patrick, just on a really rough terms, when we get a win, we’ve seen about half of them come back for repeat business in approximately eight quarters. So just to give you an idea, some come one quarters later, some come 3 years later but on average in the six to eight quarters after we get a design win, we start to see – if the product was indeed successful because there is a long cold time for the OEMs equipment and that’s about what we – that’s about what we've noted and we've seen about half of the wins so far over the cumulative nine quarter period, about half have come back for repeat orders.
Operator: We have no further questions at this time. I will now turn the conference back to Steve Schwartz for closing remarks.
Steve Schwartz: Well thank you everyone for your interest in Brooks and we look forward to speaking with you when we report results from our fiscal 2013 fourth quarter. Thank you.
Operator: Ladies and gentlemen, that does conclude your conference call for today. We thank you once again for your participation and ask that you please disconnect your lines.